Daniël Pretorius: Good morning, everybody. Thank you very much. It's a nice intimate crowd today. So I said to James that I will share some of my personal thoughts that I don't always share and he pointed out that there's a podcast. So I said, "Well, in that case, I'll ask some of my colleagues to maybe share some of their intimate thoughts." So you're all familiar with our disclaimer. There will be a number of forward-looking statements. 
 It's been a good quarter for us both year-on-year as well as quarter-on-quarter. As you could see, gold production from the last quarter is up 8%. What makes that a significant number is that the combined improvement in gold production compared to what we achieved in the March quarter is 20%. In the March quarter, you'll recall was when we suspended the operation of the flotation and fine grind due to a number of metallurgical issues that we had to figure out what to do about. Operating profit, you could see, up 52%. It's slowly but surely creeping back to the numbers that we were used to when the gold price was still $1,800 per ounce. Of course, in South Africa, where the rand having weakened significantly against the dollar, we didn't see a double-digit drop in the gold price. So it's certainly achievable. And if we can continue with current trends, then hopefully we'll be in a position at some point to again report numbers like that, that cash margin, in particular.
 The next point is a significant point. The cash balance steady net of loan retirement. You will recall that we had to pay a ZAR 77 million payments against these loan notes that matured at the end of July. We managed to do that. When I go through the more detailed financial analysis, you'll see that the net cash flow from operations was just over ZAR 80 million this quarter. So we've almost paid the entire payment that was due with cash flows out of the operations in a single quarter. So that was a really good result for us, and we're very pleased about that. So the loan balance or the cash balance rather is steady, above ZAR 200 million, ZAR 204 million. Last quarter, it was ZAR 208 million. So the total cash burn, inclusive of those repayment, was just on ZAR 4 million. And for us, that is a very good outcome. 
 Another one, which is maybe not -- which is, I suppose, we can't underemphasize, is the fact that we managed to extend our wage settlement by another year. We are in a phase in labor relations in South Africa, where labor has become a little volatile, unpredictable. I think there's a lot of jockeying between laborers and labor unions or jousting between labor unions as to who rules the roost. So when we managed to extend our wage settlement for another year, which effectively makes it a 3-year settlement, we were quite pleased. At least, this is indicative of potentially another year of stable labor relations in our organization. And we're very fortunate for that. We're very grateful for that. 
 The year-on-year numbers, I'm not going to spend too much time on that other than to say that on all the key indicators, we're also very pleased with how it's trended from EBITDA, all-in sustaining costs all the way through operating profit and gold production. And what makes it significant maybe -- so maybe once you can just browse over it, is the fact that this is a -- this is really -- it's the first quarter, where we could compare life without the flotation and the fine grind and life with the flotation and the fine grind. So that's where the difference came in quarter-on-quarter if you compare this quarter this year -- this year's first quarter with last year's first quarter. I think there is some significance in those numbers. 
 But then insofar as the operating trends is concerned, I'm just going to step away from the podium a little bit and just emphasize some of those. You see that volume was a little bit down. I think we had a bit of backdown in one of the thickeners for about 1 week that impacted on that. But you could see that the yield grade steadily improved. And the reason why this particular graph here or this particular trend is very encouraging is the fact that this yield grade improved notwithstanding the fact that this was the quarter for lockup. Whenever you start up the new circuit, there is going to be a phase, a few weeks, during which, due to various components of your circuit, it has to saturate. You've got to build up inventory, particularly in so far as your covered portion of the circuit is concerned. And in this instance, the CIP. 
 So there's probably about 20 kilos of gold locked up in the system as we speak, additional. But that, you didn't really see impact on the numbers at the tail end here. We still managed to achieve a very good yield grade, and certainly, turning in the right direction. Now we measured this up into the fourth decimal. We're happy to round it. If we rounded it, then it will give you the 0.2. But in our ultra-volume  environment with the sensitivities that we're dealing with, it's probably appropriate to rather just stick to the more conservative number because 0.20 is our target and that does make a significant impact on all-in gold production. And this number here, that's our gold production in kilos, expressed in kilos for the quarter. It's just over 37,000 ounces, 1.1 tonnes of gold -- 1.15 tonnes of gold that we produced. It's the best that it has been in several quarters. I think if you extrapolate this further down, it's probably amongst one the best quarters that we've had in quite some time. 
 Financial indicators. Very importantly, the cash operating margin is trending back up again quite nicely. All-in sustaining margin is just on 4%. I think we just need to give some context to the difference between last quarter's all-in sustaining cost and this quarter's all-in sustaining cost. Last quarter did benefit from an ZAR 80 million reduction. It's actually a little bit more than that, just over ZAR 90 million reduction, but I think the offset -- or after offsets, about an ZAR 80 million positive charge to the income statement. And that was after we have reduced provision for rehabilitation going forward. And it's based on just a different methodology and access to cheaper water that allowed for that. So the 4% margin is maybe not -- or the move between the previous quarter and this quarter is maybe not an entirely accurate indication, considering the benefit of the previous quarter. 
 The same applies to EBITDA. If you were to normalize EBITDA and strip out that particular charge, then the EBITA number -- EBITDA number rather, quarter-on-quarter improved by between 55% and 60%. And then year-on-year, you could see also I think approximately an 87% move on EBITDA, which we are particularly pleased about. This is an important number for us because this gives you an idea maybe of not how much profit we make but how much money we make. And ultimately, it's with money that you're going to pay your wages and your consumer goals, et cetera, et cetera. And it's been our best quarter also for quite some time. We significantly reversed the cash flow in the previous quarters, those in particular. Most of the expense of CapEx is behind us. We are going to spend some additional CapEx into the next few quarters but nothing compared to that. And we're very much in expressing our way. Operational cash flows, net of cash flows, are capable of taking care of our CapEx. 
 This is the number here that enabled us to pay the bond without really seeing much of a dent in our cash balance. We are comfortably above our buffer after having provided for the dividend that's going to be paid in the next few weeks. We're comfortably above our 1-month working capital buffer that we want to maintain. And nothing indicating at this stage that, that buffer is under threat. Headline earnings per share as well, there, too. I think a more appropriate number would be to compare quarter-on-quarter, it's in fact from ZAR 0.14 up to -- a loss of ZAR 0.14 up to a loss of ZAR 0.01. So that margin also narrowed significantly. And I think it's an indicator of where the economic value add is starting to trend. And in that regard, also pretty much in the right direction.
 All right. So on the financial review segment of profit and loss. Basically, an iteration of what I've just gone through. Our number there, you could see some of the depreciation numbers coming through, impacting on the loss before tax, earnings and EBITDA. But the trending on it all, compared that one there, minus 22% to minus 4%. And this is after we've taken into consideration the depreciation and amortization numbers, definitely trending in the right direction. So from a profit perspective, the economic value add undoubtedly going in the right direction.
 Looking at the balance sheet. For me, that number remains key. Now just looking at the previous year, and when I say that number remains key, I'm referring to the cash and cash equivalents for the benefit of those on the podcast. ZAR 204 million or just under $20 million. If you compare that to exactly 1 year ago, now between last year and this year, we've paid down just over ZAR 20 million in the previous bond that was due and another ZAR 77 million. So it's about ZAR 100 million of available cash that was included in that number that has since been paid out. So if you can look at the year-on-year cash numbers and taking into consideration that we had still very much -- we were in the high capital reinvestment phase up to about March of this year, then you could see that actual cash burn, operational cash burn, the high CapEx investment notwithstanding was only about ZAR 20 million to ZAR 25 million year-on-year. So we're pleased with where the cash flows are trending. Our business is all about margin. Our business is all about cash flows. Our business is about making sure that we invest the right amount of capital in order to ensure consistency of cash flows and maintain margin. And that is an indication, I believe, that things are most certainly trending in the right direction.
 All right. Now Jaco Schoeman, who I's joining me in front here, he took over the reins in July. Operationally, he's been in charge of Ergo Mining as the Operations Director. [indiscernible] He's also the standing CEO when I'm away. If I travel, then he basically carries my proxy. And I think what we have seen in the last few months is that this business, which undoubtedly needs a whole lot of experience, a whole lot of intuition -- there's a book by Malcolm Gladwell, [indiscernible] Blink, that intuition, that understanding of the business that comes with many, many years of experience. I think we've come to a stage now where it has become imperative for us to combine those 2 things, those 2 components with a systematic borderline pedantic approach to systems and procedures. And I think the combination of the 2 is what you are witnessing in the numbers now. 
 And just applying that, that philosophy on to what we are busy with here at the high-grade section, where 1/3 of our total production is now being challenged, and we call it a test phase, and it's operational test phase and a production test phase nonetheless. But we are very meticulously monitoring and measuring every single component and key driver of that circuit. What we are seeing, certainly, are trends that are very much going in the right direction and other trends, negative trends, that have been significantly reversed. But I think the most important ones here, just from -- the 3 most important ones, just from an operational risk perspective, are number four, five and six on the left-hand side column, each of which now has a green block next to it, green indicating that we are 100% satisfied with where it is and it's working properly. The water balance was a big issue for us when we suspended operations in March. We had a whole lot of water coming into the system. We didn't have adequate reservoir capacity. We know that a lot of water actually left the plug because we had to maintain the levels in the thickener. There was a lag on the sampling of dissolved losses, which came in too late for us to really reverse the decision but that had indicated that the dissolved losses have skyrocketed, which was going to be an indicator of poor carbon efficiencies. We thought that maybe there was carbon lockup because we didn't see the gold in dissolved losses. And those have all now been reversed, including, I think, the thickeners. 
 The thickener gave us one last scare -- hopefully, one last scare earlier in the quarter, when there was a trip-up literally after -- because of something that had happened after every single measure that we could put in place, [indiscernible] measure that we put in place. I think it was a cable that blew if I'm not mistaken, and then that had now been replaced as well. And the cable actually blew just on the other side of what I suppose I could best describe as a circuit breaker to prevent exactly that sort of thing. The loss of the thickeners that we have at our disposal is also being washed out now, providing for additional water storage for capacity. I think one of the key issues here associated with the logistics, associated with just throughput capacity is now being addressed though these thickeners. 
 This is where we are now on the test work on aspects that we saw. I think we can improve on the high-grade electro-winning circuit. We do believe that we may have to reconfigure it. It's not as if we're losing gold or not seeing the gold that we're expecting to see. But the test work is indicating that there might be a better way of doing this. In fact, I'm already talking to the second one. The high-grade electro-winning circuit we initially saw some plating onto the electrodes that required acid wash in order for that to be -- for the gold to actually come off due to high concentrations of copper and nickel in the concentration. But that I think's pretty much now being sorted out. So that's probably a light green, Jaco, no longer an orange. 
 It's the next one and the third one that I want to talk to you a little bit about on the leach efficiency and the high leach configuration. So what we're seeing is that although the mills are working really well, we're seeing that those pyrites are being ground down to the required fraction. And hence, we know that the gold is actually ending up in solution. We don't quite see that coming through or presenting in the water reservoir grade. So although more gold is coming into solution and most of it actually settles on to carbon, it does seem as though something is competing with the carbon. And most likely, at this stage, that might be the sulphate. It's negligible, but I think our business consists of addressing those negligible issues. You face enough of these almost negligible, little impacts, and ultimately, you optimize it and you optimize it handsomely, and the results are rewarding. 
 So what we're looking at there is maybe introducing longer leach time, maybe reconfigure it from CIP to CIL. And we do think that we would diminish the impact that remaining sulphate have on the carbon adsorption efficiency quite significantly. And that is where you -- that's where this third thing comes in, a change in the leach configuration essentially from CIL and to -- from CIP to CIL. And then that's pretty much a petty cash expenditure, considering the sort of lineup that we've got and the infrastructure that's already in place. These 2, we kept full extent for impact. Our float reagents are under recoveries. Once again, we don't see less gold than what we think we should be seeing. But at the same time, not every parameter that we are monitoring, not every parameter that we are measuring, we've been monitoring, measuring long enough for us to confidently state that we've now established a trend. So this is more of a conservative, cautious statement than anything else. And this one, too, the extent to which the high-grade section impacts on overall recovery. What we're, in fact, testing at this moment as we speak, is we're keeping the high-grade cell completely separate from the float cell. So Jaco will explain this in greater detail. 
 But this 1/3 of material, the 600,000 tonnes that enter the plant and that is channeled through the floatation and the fine-line circuit at first goes through the flotation cells after having been properly prepared. It goes through the flotation cells. And that concentrate is then separated, and that is what we refer to as the high-grade section. It goes into the high-grade CIP section. The float, the cell float -- or the rather the float cell, the 96-odd percent that remains behind, that goes straight into CIL. At some point, this high-grade section cell, this other 4% that have been floated out, after we've done with it what we wanted to do with it, that joins up again with the float cell. It goes back into the same CIL or set of CIL tanks. We're separating them now. We said we're increasing leach time on the low grade and we're separating the float cell from the high grade. So just to see the extent to which the high-grade cell could potentially have impacted on the low-grade efficiencies. And we'll know that in a few days. We think that we'll be able to establish through stamping a pattern in less than a week, maybe even so in as little as 3 days. And then we'll decide whether we're just going to keep it separate or together. But that is one of the last things that we really have to check before we know what the optimized configuration for this is. In market shares, as I said earlier, is that we are able to do all of these things while we're not producing less gold than what we thought we were going to be producing. So we're not fighting inefficiency, we're not fighting some sort of impact or dynamic that is causing a problem for us in the production line. But we're picking up samples. We're picking up readings, measurements that indicate that, that this, in fact, may be a better way of doing this and optimizing it even further.
 All right. So I write about this in the letter to shareholders, the test focus. And this is really the layman's way of describing to the rest of us, who are not metallurgists or engineers, what it is that we've been doing and what it is that we're focusing on. Really, the 5 key things, when I take this to the market, when I explain this to those interested in listening to our story, are key things that we are monitoring through this test phase are these. And these are the things that have got to work well in order for the business to work well. This float circuit is going to give us a mass pull of between 3.5% and 4%. Now sometimes we see a little bit below 3.5%, sometimes we see up to 5%. And then my colleague over there wants me not to get too excited as much as we have a very good day and not indicative of a trend but be that as it may. We want that float feed to compare to at least 40% of the gold carried in the feed. So the 600,000 tonnes of inches of float circuit, and that is floated up. It must contain 60 -- rather 40% of the gold that is contained in that feed must end up in the concentrate. We want the mills to achieve between 20 and 22 microns. By doing that but not at the efficiency rate -- but not at the bead consumption rate that we are targeting. So there's still a bit of work to do there as well. And there have been 1 or 2 issues with mills that vibrate. There have been 1 or 2 issues with not generating adequate torque in the mills itself, so it's not running at the desired speed. But they're playing around with it. They're changing the beads. They're increasing the load of beads in the mills itself. They are doing these things though while we're achieving 20 to 22 microns. 
 So once again, it's not a matter of where we are fighting an inefficiency. It's a case where the readings that we're getting are suggesting that there's a better way of doing it, that there's room for improvement. The leach and the carbon adsorption efficiencies, I think I spoke ad nauseam about that, going through the previous slide. The effect of the float circuit on downstream CIL efficiencies. I think that we do have the light green, Jaco. So maybe it's because the 1 slide was done at 9:00 in the morning and the other one at 5:00 in the afternoon. We're rapidly going through the numbers here. And then a reduction in the washed residues. That, as I said earlier -- it's not as if we don't see the gold and we do know that the gold that we want to enter a solution is being liberated from the pyrites. We're just not seeing enough samples yet to say, "Well, this is, in fact, what we are achieving." The samples that we're getting are certainly trending in that direction. Sometimes we get a sample that is significantly higher than that, sometimes it's a little bit lower than that. It might be an indication of a softening regime, as well. But the trend ultimately will tell us whether or not we are there. So this is something where we are still just keeping an eye on, and we're not declaring victory just yet. But it is certainly a light green because the trends are very much our friend [ph] as far as that aspect is concerned. 
 So in the months going forward -- this slide is intentionally kept very short with very few words on it because the focus of the organization for the near-term is very much going to be "get this thing to work, not just to work well but to work as best as it possibly can." And it's already starting to work well. It is already giving us the results on the table, coming out of the smelters that we've anticipated. But there are better ways and cheaper ways of achieving that outcome. We're on track for completion of a test phase by the end of December. We'll take a decision then as to whether the whole of the stream is going to come through the flotation and the fine grind or only a part of it. And the reason is not so much, I think at this stage, or not only how good or how bad this thing is going to be performing. I think it's ultimately also going to be an issue of what is the best distribution of risk. The flotation and fine grind is a far more complex -- although it's completely automated almost, it is a far more complex process with various different layers, additional layers in the circuit that we don't have with the CIL. So is the upside that we're going to be getting if we were to introduce the other 1.2 million tonnes per month, is that going to be proportionate to the risk that we're assuming of pushing everything through this? I think it will be. But we're going to take a decision not based on how I feel or what I think, we're going to take a decision based on the actual measurements. And that will be one that we could justify based on empirical evidence, empirical fact. And we'll be able to show to the market, "This is the reason why we've decided either left or right or straight through the middle because it is a risk/upside consideration."
 I think that's pretty much what we wanted to share with you in the presentation itself. Obviously, the letter to shareholders goes into a little bit more detail. I didn't spend too much this time around on the environmental aspects and the social aspects. I think the one thing that might be a question is the -- excuse me, just on the environmental side, where do we stand with our environmental management and what is our status on compliance? It has been an exceptionally dry and windy quarter. So our performance, especially insofar as the dust issues in and around the Johannesburg area are concerned, have not been to the standard that we set for ourselves. And our standard is pretty much consistent what we think the industrial-level requirement, emission requirements are. What we have seen though is that there's been considerable benefit from the vegetation process that we've had on the program that we've had over the last 6 years. Those areas that we've adequately vegetated, there is virtually no dust coming off those areas. The ones that are in the process of being vegetated or that have not been vegetated and where we are trying to maintain the best levels downward of dust suppressions, they're not as effective as vegetation. 
 Obviously, the challenge for us is not just a money challenge. We are channeling as much money as we can towards this. We've been spending on average ZAR 80 million per year over the last 5, 6 -- 5.5, 6 years on dump rehabilitation. So the numbers are significant and, therefore, the progress has been significant as well. But it's also a matter of availability of water. There's only so much water that can be taken on to these tailings dams. We rely on Rand Water Board for water, especially on the vegetation side. And their capacity is constrained. So we're planting as quickly as we can irrigate. It makes no sense to plant if you can't irrigate. In those areas where they can't plant, we put up nets. As a [indiscernible] that this has been a month which we want to put behind us sooner rather than later because we haven't always been capable of containing the impacts of dust.
 Big role is also the wind direction. There would be days -- and I actually witnessed this with a 35-knot wind, where there's hardly any dust coming off the tailings simply because of the wind direction from the Northeast. And then there are other days where the wind is from the West or the Southwest, where because of the areas that we've prioritized, where there's a little bit more dust coming off the tailings. It's an ongoing program, and we're not going to stop until we've got all covered, 100%. And I think the standard of what we have in place already is high and hopefully that the levels of nuisance that we've created in and around those areas are significantly lower than what they would've been if we've done nothing and also what they were 5, 6 years ago.
 I think those were the key issues that we wanted to address. Obviously, we have to answer your questions if there are any. Thank you very much. 
Leroy Mnguni: It's Leroy from RMB Morgan Stanley. My question relates to the cost escalations. On a rand per kilogram basis, it's quite an achievement. But my concern is that, that's driven mostly by the yield enhancements. And if you look at it on a rand per tonne basis, it's about 10% increase between the previous quarter and this quarter. What would be the driver behind that? And then my other question is if we assume that the test work on the high-grade circuit is completed and satisfactory by December and we then reimplement in January, would there be a ramp-up phase? Or would you almost get the yield enhancement immediately from day 1? 
Daniël Pretorius: Well, remember that the only lockup that occurs -- I'll deal with your second question first. The only lockup that occurs, occurs in the system as it currently is. And that system is saturated. It's just that it's operating at a slower rate because it's only running 1/3 of its capacity. So there won't be additional lockup and the throughput would be immediate. Is that correct, Jaco? It was my understanding. But in anyway so far as your second question is concerned, that's really just the additional cost associated with the float and the fine grind. It does bring an additional cost. And obviously, you're running at full cost, notwithstanding the fact you're only running at 1/3 of its capacity. But once you switch it on, there's no half measures. It runs at full cost. 
Leroy Mnguni: [indiscernible] 
Daniël Pretorius: Yes. That's another one. We had the -- we had 1 month of winter tariff. But obviously, that was -- it was an overlet between winter tariff in the first month and our labor increases come though as well. But I think the cost that you see on a rand per tonne basis, I don't think there's going to be a much of a reduction in that, except obviously when the tonnes increase, and you would've noticed that our tonnes were slightly lower this quarter than last quarter, about 100,000 tonnes. There is an additional cost associated with the float and the fine grind. Anything else? 
Dineo Faku: I'm Dineo from Business Report. I'd like to find out if you can just update us on your talks to get your hands on richer mine dumps around the neighboring areas where you operate. 
Daniël Pretorius: At this stage, we're not engaging with anybody. Insofar as richer or smaller dumps are concerned. We do have one landowner, who's delivering high-grade material into the City Deep plot. And they'll continue to do that for the foreseeable future. The grades are still consistent with what we had wanted. It's not an enormous quantity, but it's a nice, little sweetener. But we're not engaged in any other discussions for smaller dumps at this stage. Are we all done? Okay. Thank you very much, everybody, appreciate your attendance.